Operator: Good morning. My name is George and I will be your conference operator today. At this time I would like to welcome everyone to the Buenaventura Conference Call. All lines have been placed on mute to prevent any background noise. After the presentation we will conduct a question-and-answer session. Instructions on how to ask a question will be given at that time. Thank you for your attention. I would now like to turn the call over to Rafael Borja of i-advize Corporate Communications. Sir, please go ahead.
Rafael Borja: Thank you George and good morning everyone. Welcome to Compania de Minas Buenaventura Second Quarter 2015 Earnings Conference Call on this July 31, 2015. Today's call is for investors and analysts only. Therefore questions from the media will not be taken. Joining us from Lima, Peru are Mr. Roque Benavides, Chairman and Chief Executive Officer; Mr. Carlos Gálvez, Chief Financial Officer and members of the company's management team. They will be discussing the second quarter 2015 results. If you did not receive a copy please contact i-advize in New York at 212-406-3693. Before we begin I would like to remind you that any forward-looking statements made by Buenaventura's management are subject to various conditions and may differ materially. These conditions are outlined in the company's earnings release in the disclaimer section. Please refer to that for guidance regarding this matter. And now it's my pleasure to turn the call over to Mr. Roque Benavides, Chairman and Chief Executive Officer of Buenaventura for his presentation. Mr. Benavides, please go ahead.
Roque Benavides: Thank you Rafael. Welcome to this quarterly conference call of Compania de Minas Buenaventura. In the second quarter of 2015 our EBIDTA from direct operations was $32.9 million and our EBIDTA, including our associated companies was $90.7 million. Total achieved production, including associates in the second quarter of 2015 were 186,000 gold ounces and 4.4 million ounces of silver. At the Tambomayo project construction permits were granted in June 2015. Production should begin in the third quarter 2016 at 1,500 tons per day with production of between 120,000 and 150,000 gold ounces and 2.5 million to 2.3 million ounces of silver. At the San Gabriel, Chucapaca project consumption of the ramp started in June 2015. The environmental impact study assessment of the project construction is expected to be submitted in the third quarter 2015. During this second quarter 2015 El Brocal average planned capacity reached 14,000 tons per day level due to technical problems with the main mill’s engine. Full production capacity level of 18,000 tons per day will be reached in the fourth quarter this year. Cerro Verde’s planned expansion to 360 tons per day is in line with the schedule and budget. 90% of the expansion has been completed. Completion of the plant is expected by late 2015 and will become the largest concentration facility in the world. During the second quarter 2015 our net sales were $248.9 million. Our royalty income was $7.4 million in this quarter. For the six months of this year net sales decreased 13% to $491.8 million. Royalties increased 7% to $16.5 million in this semester. In terms of our production and operating cost in the second quarter of 2015 Buenaventura's gold equity production from direct operations decreased 15% from 107,807 ounces in the second quarter of 2014 to 91,454 ounces in this quarter, due to the decline in production at the Brepampa mine. Gold production, including associated companies was 185,705 ounces 3% lower than the reported in the same period of 2014. Silver equity production from direct operation decreased 7% due mainly to lower production at Uchucchacua due to a labor strike. Gold production at the Orcopapma mine increased 2% in the second quarter of 2015 and the cost applicable to sales in this quarter decreased 8%, explained by lower diesel cost and improvements in energy consumption. Gold production guidance for 2015 continuous to be within 190,000 and 205,000 ounces of gold. In terms of our silver production, silver production in the second quarter decreased 17% compared to the second quarter of 2014 due to 29 day stoppage in May, at the Uchucchacua mine. Cost applicable to sales in the second quarter decreased 1% compared to a second quarter 2014 mainly explained by a decrease in exploration expenses as a result of less diamond drilling. Revised silver production guidance for the second - for the whole year of 2015 is between 14 million and 14.5 million ounces of silver. In Mallay our silver production guidance for this year is between 1.1 million and 1.25 million ounces of silver. In Julcani, our guidance for the full year 2015 is between 2.9 million and 3.1 million ounces of silver. At La Zanjawhere we own 53% gold production in this quarter increased 2% compared to the second quarter 2014. The cost applicable to sales in the second quarter increased substantially due to higher all ore haulage cost explained by a longer distance between Pampa Verde pit and the leaching pad. Gold production guidance for La Zanja is between 138,000 and 142,000 ounces of gold. At Tantahuatay, gold production in the second quarter decreased 9% compared to the figure in the second quarter of 2014. Cost applicable to sales in this quarter increased 4% due to higher blasting supplies explained by an increased in the stripping ratio. Gold production guidance continuous to be 138,000 to 142,000 gold ounces for the full year of 2015. At El Brocal, during the second quarter average planned capacity reached 14,000 tons per day. Copper production decreased 13% compared to the second quarter 2014 and silver production increased 54% compared to the figure reported in the second quarter of 2014. In the second quarter of this year zinc cost applicable to sales was $1,659 per metric ton, copper cost applicable to sale increased 19% compared to the second quarter 2014 due to higher commercial deductions essentially arsenic. Zinc production guidance for 2015 is 60,000 to 70,000 metric tons. And copper production guidance for this year is 30,000 to 35,000 metric tons. General and administrative expenses in this quarter were $18.5 million, 15% lower than the figure of the same quarter in 2014, due to lower labor expenses explained by the increase in workers profit sharing - a decrease in workers profit sharing. For the six months of this year the expense was $40.3 million. Exploration in non-operating areas during this quarter was $9.7 million compared to $14.8 in the second quarter of 2014. During the period Buenaventura’s main exploration efforts were focused on Tambomayo, La Zanja underground and for the six months period of 2015 the expense was $20.4 million compared with $25 million in the same period of 2014. At Yanacocha, during this quarter gold production was 215,924 ounces of gold, 13% higher than the second quarter of 2014. For the six months period gold production was 464,000 ounces of gold, 17% higher than in the same period of 2014. Gold production guidance at Yanacocha continuous to be between 880,000 and 940,000 ounces of gold. In the second quarter of 2015 Yanacocha reported a net income of $18.2 million compared with a loss in the same period of last year. Tax [ph] in the second quarter of 2015 was $648 per ounce. 36% lower than the reported in the same period in 2014. Capital expenditures were $18.2 million in this quarter and for the six months period $33.4 million. Yanacocha still has a strong pipeline of gold projects; Quecher Main prefeasibility, Chaquicocha Sulphides and Yanacocha Verde scoping and Maqui Maqui in exploration. At Cerro Verde, during this quarter, copper production was 46,900 metric tons, a 17% decrease compared to the same period in 2014. For the six months period copper production was 95,543 metric tons. During 2015, in the second quarter of 2015 Cerro Verde reported net loss of $900,000, compared to $138 million in the second quarter of 2014. This was mainly due to the lower sales explained by the decline in copper price and for the six months period the net income was $39.8 million. Capital expenditures at Cerro Verde, that is under expansion were $467 million compared to $936 million for the six months period of this year. Cerro Verde planned expansion continuous inline, on schedule, on budget; 90% has been concluded and at n June 30 total CapEx of the expansion project was $3.9 billion out of $4.6 billion budget. Completion of the plant is expected by late 2015 and will become the largest concentration plant in the world. At Coimolache attributable contribution to the net income in the second quarter 2015 was $3.9 million. For the six months period the contribution was $6 million compared to $10.9 million reported in the second quarter of 2014. We have already mentioned the project development and exploration at Tambomayo in San Gabriel. And yesterday we had our quarterly board meeting - and we have accepted due to personnel reasons and he prefers not to travel that much, have accepted the resignation of Tim Snider who has been a Board member of ours for the last five years. And the nominating committee proposed and consequentially the Board of Directors appointed Mr. John Marsden as a new member of the Board of Directors effectively August 1st 2015. Mr. Marsden is a mineral technology engineer from the Royals School of Mines Imperial College of London with 33 years of broad international experience managing major, innovative copper, gold, silver, molybdenum and cobalt operations and projects in North and South America and Africa. Marsden has held various operations and technical management positions during eighteen years with Freeport-McMoRan Copper & Gold, previously Phelps Dodge and nine years with Consolidated Gold Fields plc. We believe that Mr. Marsden will give us the independence and certainly the technology, the expertise that we need in our Board of Directors and we are very pleased to welcome him. With this we are open to any questions that you may have. Thank you.
Operator: Thank you, sir. At this time, we will open the floor for questions. [Operator Instructions]. Our first question comes from Carol Lucatic [ph] from Merrill Lynch.
Unidentified Analyst: Good morning Roque. Good morning, everyone. Thanks for the questions. So my first question is on cost. We saw quite a challenging performance on the overall cost from the first quarter. And it would be great if you could help us understand what were the key drivers for this cost increases and more importantly how are the currents [ph] in the coming quarters? That's my fist question. And my second question is going into Yanacocha if you could also provide some guidance on what to expect in terms of volumes and cost for second half of this year and if possible what should the trend be in 2016? Is it feasible to assume that we'll have slightly higher cost and lower volumes versus this year? Those are my questions? Thank you.
Roque Benavides: If I can start with the Yanacocha question, we believe that Yanacocha will be in line with the guidance that has been given and should continue with the level of cost and level of production that we have already reported for this quarter. So we're expecting a good year for Yanacocha and believe that it has huge potential towards the future as we have already mentioned. May I ask Carlos Gálvez to answer question on the cost?
Carlos Gálvez: Regarding the cost it is important to mention that the first half of the year and second quarter was impacted specifically by the stoppage that we had in Uchucchacua, that you know that we have to continue pumping and consuming on paying the payroll of the overhead and this is all the impact. On the other hand we have work on net - renegotiating with our suppliers a new pricings for not only the blasting material, not only the support materials but also reagents in the different operations which will be shown and will impact in a better way the cost profile of the second half of the year. Besides that we have planned to catch up with our better expectations and to top our production during the second half by increasing some the grades and the recovery and these will commit to the low stripping cost. On the other hand the new profile that we should achieve in Brocal’s production will impact as well. On the one hand it is true we reported a profile in average of 14,000 tons per day to put in Brocal. In June we achieved 16,000 tons at an average. And we feel very confident that the second half of the year will be much better. And to the point that we expect to obtain the average of the 18,000 tons per day to put during the fourth quarter. There are several decisions that have been already made and so the installations that will be fixed during the third quarter of this year. Yeah, well I believe that those are the main issues that will impact in a positive way our cost.
Unidentified Analyst: Okay. So just to make sure I understood Carlos, the specific disturbance you had in Uchucchacua along with El Brocal were the key drivers and as those revert cost should normalize in the second half, is that correct?
Carlos Gálvez: This is correct. In addition to that did I mention that it is important to inform that in June we received permitting to expand the volumes exploited in Tantahuatay, Coimolache. And this is the reason that permit us to feel very confident regarding the final guidance of production in Coimolache, despite the fact the we produced lower volumes of gold due to these constraints.
Roque Benavides: Yeah. I'd like to add a few comments on the Uchucchacua stoppage, which was generated by some contractors. After the strike we analyzed four different scenarios to try to recover in what remains of the year, the production that we lost in those 29 days. At the end we decided for the most conservative scenario, which is, as Carlos mentioned increasing the throughput as much as we can, increasing recovery and slightly increasing the grade and that will recover for us close to 40%-45% of the production lost during the 29 days of strike?
Unidentified Analyst: That is great. Thank you very much.
Operator: Thank you. Our next question comes from Carlos De Alba from Morgan Stanley.
Carlos De Alba: Yes. Thank you very much gentlemen. The first question is, Carlos if you can quantify some of the benefit that you expect to see from these initiatives and also if the guidance offered for Uchucchacua for the entire year, does that already include the increase in grade and recovery and throughput that you expect to do during the second half? And then also if you could give us some details of what happened at El Brocal, and what - yet again the project saw some technical issues that prevented it that from reaching full capacity? And then finally I read a couple of articles about some discussions around San Gabriel project, apparently some people were trying to get more information and they were not completely happy. So I guess it's important for you that we all understand what is exactly going on and if there is any possibility that the company will face issues with the communities in that project? Thank you.
Carlos Gálvez: Yeah, Carlos well regarding the costs that in Uchucchacua specifically by increasing the - by keeping the level of production but increasing some of the grade and improving the recovery together with the fact that we are reducing several supplies costs plus improving profitability we expect to reduce this cash cost by about 15%. Despite of that you have to add effect of the devaluation of our currency that will impact the labor cost. I am not sure what the devaluation will be off course, but this will have a positive impact. Regarding the problems at El Brocal we had difficulties with the crushing equipment in the secondary crushing equipment and I believe that Igor can explain much better this fact, yes.
Igor Gonzales: The technical problems we're facing in Brocal are on the excessive wear of the liners in the secondary crusher. And that forced us to change liners every other week and that creates about a 30 hours shutdown every time we have to change the liners. So that has been one of the main problems there. The other problem we faced was with the washing drum. The washing drum, now it’s in the process of being changed. We have fabricated a new drum and we're about to change that drum towards the middle of this month. And the last issue we have there is a scoop feeder that again, wears very quickly and forces to do intensive maintenance on it. So we have these problems identified, we're working on them. Probably the hardest problem to solve will be the crusher and we're doing two options. One is off course continue to operate the way we are and trying to optimize the liner wear. But the second option we're facing and is that we found a standard crushers which is in the market and we're planning to - we are doing all the engineering to replace them for the secondary crusher. We have already decided to incorporate [indiscernible] crusher but we will do it in phases and we expect operating in November. So this will completely turn around Uchucchacua.
Carlos Gálvez: Let me go on San Gabriel. In San Gabriel we started to work on the ramp. Today we have 60.4 meters of ramp development and just in July we advanced 52 meters. And for August we have a plan of 75 meters and our target is to have two blasts per day. In another words we're on track on getting the experience and the speed in the development of the ramp. So that shouldn't be an issue. On the permitting side we'll complete the EIA study as Roque mentioned earlier by the end of this month and so it should be ready for submittal and we've worked with EIA alongside with the government. Regarding the community we held two workshops to inform them about the project and the EIA development with the communities late last month. And yes we do face some problems with other communities from time to time, especially when we negotiate land and that's a common occurrence in this part of the world, but nothing that will stop the project. We continue to develop the ramp as we've planned. We are doing the feasibility study with AMEC and we're planning to finish the feasibility study by the end of August perhaps middle of September and then we will go into the next stage which will be the detailed engineering and we're also expanding the camp as we speak.
Carlos De Alba: All right. Thank you just a couple of more questions if I may. One has to do with the impairment charge that appear in the quarter. Carlos if you can give us some of the details what is behind - what drove these, that would be useful and also Roque maybe if you could tell us why is it taking so long for Yanacocha to decide what the next option, to expand the life of mine and the operation on why is it taking too long for them to make a decision?
Carlos Gálvez: We are certainly working on the different projects. And there is, as I mentioned a pipeline of projects that we believe are going to be feasible and we're working on the engineering of this projects. It takes time. I don't think it's taking that much time for already we should have started well before but anyway now we are inline and we're working on different projects. In terms of the permit, its…
Igor Gonzales: The Yanacocha [ph] permit that we accounted for La Zanja open pit are considering that we are going to move to the underground area and there are well some difference between the assets and the present volume and what we are going to obtain.
Roque Benavides: I'd like to add to my colleague's comment on Yanacocha that one of the technical reasons why we're starting the ore - as you know the Yanacocha ore transitions from all size to sole type [ph] and the technical analysis now have to face a new technology, well different technology than the one is being used in the process, basically floatation but in addition to that there is arsenic with the ore, with the copper ore which brings additional complications to the quality of the concentrate. So basically those are the issues that we're analyzing in Yanacocha but the potential is there.
Carlos De Alba: Excellent. Thank you very much Roque, Carlos and Igor.
Operator: Thank you. Our next question comes from John Bridges from JPMorgan.
John Bridges: Good morning, everybody. Thanks for the report and just wondered with the progress you had in the quarter, have you changed the formal guidance for gold, silver, base metal productions for this year?
Roque Benavides: Yeah. Well regarding the guidance you know we are reducing the guidance of silver due to [indiscernible] by about 45 [ph] million ounces. That initially was 15 million ounces and now we are considering something in-between 14 to 14.5 million ounces. In terms of the gold production we haven't modified any. We're aligned [ph] but we consider and this is why I mentioned, the new permitting to Coimolache because according to the rate of production we had in the first half of the year, it was not going to be able to achieve the goal but with this permitting we are going to achieve that.
Igor Gonzales: John, this is Igor here. In the case of Coimolache we were able to get a permit that allows us to process up to 36,000 tons per day capacity. So this will allow us again to put more lower grade ore on the pad, because that was one of the problems for the production. And to this date we're also looking at the other target, which is 140,000 ounces per year, both at La Zanja and the numbers I am looking at until the end of July, it show that both mines should be able to achieve the 140 mark.
John Bridges: Yeah, I’m glad you mentioned that. I was going to go onto that. And Carlos was telling me before that you keep on finding more reserves at Coimolache, what’s the resource base there what’s the potential?
Igor Gonzales: Not in the case of Tantahuatay you know that we have continued exploring and incorporating additional sulfur [ph] resources. Unfortunately I don’t have the numbers of the potential here but through December we review quarterly the life of the mine, we have the [indiscernible] we feel - the life of mining is being extended year-after-year. In the case of Coimolache, we feel very good.
John Bridges: Okay.
Roque Benavides: John if I may mention a little bit of geology now on, we are finding new ore in Orcopampa and so we were able to find a new structure at the 35-40 level and about 1.7 meters they came close to 14 grams and we have very good potential for the development and on the structure at the Lucia vein system at the end with - but this other system adds some copper in it and so we were planning to campaign that as we have all the processing facilities in Orcopampa to do so. So I think Orcopampa is bringing good news in terms of finding more ore and addressing one of the issues that we had which was reduction of reservoirs and resources. So I think Orcopampa is bringing more good news for us and in terms of exploration.
John Bridges: Okay. That’s great. When would you be able to access that new structure?
Igor Gonzales: I was reviewing the drawing this morning and we should be - we have developed all the drift into this structure. So it’s not just drilling intercepts but it’s actual development. In the reverse structure we already developed 16 meters of this structure and the potential to develop is about 700 meters and in the other system and which is the Lucia system, the prospective ground is about 400 meters and we have intercepted the same structure before and after the development in both the directions. And it has, as I said 400 meters potential and we should be able to access this I’d say within two or three months if we wanted to put that in production, right away, although we have other places in production right now, at this moment we don’t need the ore but the more important for us is to develop new resources. So that brings a lot of comfort to us.
John Bridges: Okay. So that might help you to better catch up in Q4. And then Roque in your introductory remarks you mentioned the impact of arsenic. Could you just elaborate a little bit on that and what the expectation is for those arsenic cost in the next few quarters?
Roque Benavides: Well, the penalties that Brocal receives in selling its copper concentrate is a high penalty and that is what we referred to. We do know, we are working on solution to arsenical coppers in the Rio Seco plant. We believe we have got a process which we are now testing as a continuous process. It works as a batch process and if that works in it would be a turning point, I would say for arsenical coppers worldwide but specifically for the arsenical copper that we have in Brocal in the short term but also in Yanacocha there is arsenical copper and in Tantahuatay there is arsenical copper. So we are working on that front but in the time being we have to pay the penalties of this concentration.
Carlos Gálvez: Our expectation is to be prepared to make a decision before the year end to work on this plant.
Roque Benavides: Just to put more information on the table and this is and the pilot plant is already operating. In other words all the bench work has been completed, the pilot plant has been built, is now an operation and the results of the pilot plant should be really within a couple of months to make a decision as Carlos says by year end.
John Bridges: So that will be to go from a few kilograms per day to several tons a day?
Roque Benavides: Yeah. It’s about a 1,000 kilograms per day pilot plant.
John Bridges: At present or what you’re considering for next year?
Roque Benavides: No. At present. The pilot plant is processing at that rate, when we do the ramp.
John Bridges: And if you decided to go ahead what would you scale - go to another scale?
Roque Benavides: No. We would go directly to an industrial size scale given that the results are quite encouraging right.
John Bridges: Wow, that’s the Holy Grail. Well done guys. Best of luck with that one.
Roque Benavides: Yeah.
Operator: Thank you. Our next question comes from Patrick Chidley from HSBC.
Patrick Chidley: Hi, gentlemen. Just a question on - back to previous discussions, just on that processing of oxide concentrates. When you say your pilot plant runs at 1,000 kilograms a day, that’s a 1,000 kilograms of concentrate in the front end. Is it?
Roque Benavides: Yes.
Patrick Chidley: All right.
Roque Benavides: We do run so with different conditions of course, we have to run and then stop the plant and then run again with different conditions, changing the different conditions but in a continuous model as Igor mentioned right.
Patrick Chidley: Okay. And then this is now a continuous test that you’re doing and have brought in the best process, is that right?
Roque Benavides: Yes.
Patrick Chidley: Okay. So it felt like you’re feeling pretty confident and if this is the case then it is a bit of the worldwide breakthrough isn’t it?
Roque Benavides: Yes. I think it will transform many, in the economical of many names if this is applicable. You see the testing have to done with the specific ore and what we have done is testing with the Brocal ore and some of the Yanacocha ores but the testing will have to be made for every specific mines if we go ahead with it.
Patrick Chidley: Okay. Does it work equally well with the Brocal and the Yanacocha ore?
Roque Benavides: Yes. Both of them work very well and we feel that we have a process.
Patrick Chidley: Well, great. That does sound sort of exciting. Just my other questions were just on the new discovery at Orcopampa then. You said that the potential is 700 meters of strike, is that correct?
Roque Benavides: Yes. This is on the 35-40 level, the structure, that’s correct.
Patrick Chidley: Okay. That’s a long strike when you sat 700 meters?
Roque Benavides: Yeah.
Patrick Chidley: How many holes have you got in, including cost cuts?
Roque Benavides: We are right now on the structure as I said we have developed 15 meters with 1.7 meters within - on average and we have intercepted the drilled holes ahead and behind. I think it’s two or three interceptions ahead and [indiscernible] behind. So I am not exactly sure its two or three but that’s - those are the one site we revealed this morning.
Patrick Chidley: Okay. All right. Thanks. And then last question on Uchucchacua, are you now actually mining in the high-grade areas on the other side with high manganese ores or is that something to come in the future and if so when would you get into that stuff?
Roque Benavides: No. We have not modified significantly our mine plan for Uchucchacua as we had it from the beginning of the year. What we have done is we’ve adjusted the grade a little bit more towards the high end. In other words from - close to 15 ounces of silver and by the way we continue to mine the same using the same plan. Now in the same plan we have phases with different grades and so the blending of the grade is we’re trying to do, be more accurate, so we can improve the grade going to the plant and so we can recover additional ounces in the process. So that’s basically what we were doing. We have some phases with high grade then average and we’re trying to mix and match and reduce dilution [ph[as much as possible.
Patrick Chidley: Right. I just recall that there was another area on sort of on the other side of the district almost where you didn’t get much high grades?
Roque Benavides: You are referring to Yumpag?
Patrick Chidley: Yeah.
Roque Benavides: That is very high manganese. That essentially what it shows us is the district has a huge potential and with the Rio Seco plant, we have put those resources in value and that is very, very important. I think it’s the methodological process has add value to our resource that with - it’s not having Rio Seco plant, it we’ll have no commercial value. So we’re very pleased that we did it and that we have expanded the resource.
Igor Gonzales: We continue to develop Uchucchacua as we speak, we continue to drive the ramp and do additional exploration there and so that hasn’t stopped and as Roque mentioned it’s an extension, it’s about 5.5 kilometers from where we’re currently operating in Uchucchacua. So but it’s in the same geological formation, the intermediate Coimolache and the upper Coimolache, so it’s within the same formation.
Patrick Chidley: And just question when could you think you could be mining stopes in the high grade area at Yumpag.
Roque Benavides: We haven’t discussed that yet. I think we’re right now focused on the exploration more than anything else. In order to put that in next phase what more we have to do a number of changes such as active [indiscernible] pumping and ventilation et cetera. So it’s a still a little ways before we can commit to that with any specific time.
Igor Gonzales: This is part of a long-term mining plan and perhaps in four years’ time we are going to look at this area.
Patrick Chidley: Okay. Got it. Thanks very much.
Operator: Thank you. Our next question comes from Alex Hacking from Citi.
Alex Hacking: Hi, good morning gentlemen. Thank you for the call. I have two questions. The first question is can you help me understand a little bit better the calculation for all-in sustaining cost. I can see that it was reported at $900 per ounce in the quarter but the gross margin was close to zero and gold was almost $1,200 an ounce. So how I sort of reconcile the difference between these numbers? And then the second question is can you remind us on Cerro Verde, what’s going to happen to the cost structure post the expansion? Obviously the mine will be operating at larger scale but I think there was going to be some grade depreciation there, once the bigger concentrator is operating. Thank you.
Roque Benavides: Okay. Regarding the calculation of the all-in sustaining cost where you have the numbers in our press release [ph] and I will prefer not to explain over the conference call because it will be pretty confusing but we could have - so far it [indiscernible] because we follow mainly the models of the rules to calculate it.
Igor Gonzales: Regarding Cerro Verde the project is on a schedule and to be able to start as announced in the third quarter of this year. And I don’t have the details of the cost but the basic rule will be that all the fixed cost will be divided by the additional pounds that the plant will be operating so we should see a reduction in the unit cost in Cerro Verde once starts full operation. Now remember keep in mind that Cerro Verde once it starts, is not going to start - the ramp up period is going to take at least four or five months. So we should see the full operating facility next year, it’s the ramp up period that takes that long.
Alex Hacking: Thank you.
Operator: Thank you. Our next question comes from Mr. Sebastian Cruz from Kallpa Securities.
Sebastian Cruz: Good morning to all. And my question is, on Pampa Verde [ph] within the core [indiscernible].
Roque Benavides: Can you repeat that please? We didn’t copy.
Sebastian Cruz: Yeah. What is your go ahead scheduling at Pampa Verde?
Roque Benavides: We haven’t copied it correctly. But at Pampa Verde we are working there and we are essentially mining very carefully because it’s very close to the town and essentially the use of explosives has to be very, very careful. So we continue mining there and essentially we are focusing more on the lead, zinc and silvers areas of the mines rather than the copper areas but we are also producing some copper as well.
Igor Gonzales: Yeah. I guess maybe you referred to this in the earlier months of the year, we have some issues regarding the collapse in that particular area that Roque mentioned. Now we have reached an agreement with the communities where they will allow us to do the blasting there, of course it’s a control blasting. We use timers and we’re do joint monitoring with the community so now we’re able to do the blasting in that particular area.
Sebastian Cruz: Okay. I was talking about the ore grade at Pampa Verde, [indiscernible], if you have the number or - number of the ore grade.
Roque Benavides: You’re asking for the ore grades?
Sebastian Cruz: Yes.
Roque Benavides: Yes. Okay. The ore grade, we may - I don’t have the figure but we can provide to you afterwards. Essentially it’s in the range of one to two ounces of silver and close to 2% copper and close to 1.5% lead if I am correct that but that’s subject to reconfirm.
Igor Gonzales: What is important to mention is that due to the agreement that we reached with the communities in June we were obliged to split ores that were in in stockpile and due to this the recovery was lower than what we expected and we planned. But now that we are exploiting and blasting from this area of Pampa Verde we are going to prove this methodology.
Sebastian Cruz: What I want to know is what are you [indiscernible] on the rate and it’s affecting [indiscernible].
Roque Benavides: I am sorry. We are not copying you. Excuse me.
Sebastian Cruz: Yeah. I wanted to know is are you [indiscernible] and it’s affecting the production.
Roque Benavides: What is affecting production?
Sebastian Cruz: Yeah, recovery of the grade.
Roque Benavides: I will repeat myself, I guess maybe I can copy your question right. But what is actually affecting production are these installations in the plant that are not operating to our expectations, the secondary crusher, the washing drum and this scoop that I mentioned. We are redoing the mine plan for - reviewing the mine plan as we do with all mines, to try to capture the best and most optimal grade through the plant, but that’s what we’re doing. I don’t know if this answers your question, if not we’ll send you the detail data on grades via email.
Sebastian Cruz: Great. Thanks.
Operator: Thank you. Our next question comes from Elano Weston [ph] from Credit Suisse.
Unidentified Analyst: Hi. Thank you very much for the questions. The first one is on CapEx. If you could the comment what’s your expectation for remaining CapEx for 2015 and also for ‘16 and ‘17. And additionally how you expect to fund it, is it reasonable to assume that we’re going to raise debt and if that is in the case by when and what sort of amount? Thank you very much.
Carlos Gálvez: Yeah. In terms of our CapEx, we still consider slightly less than #300 million. As so we mentioned for guidance for sustaining CapEx due to the fact that we take certain assets, certain equipment for Tambomayo, that will be perhaps [indiscernible]. On the other hand for next year that will be slightly higher due to the $300 million we mentioned due to this delay. So initially the 2015 CapEx was built on $300 million it will be broadly 217 and this will moved to 2016. In the case of 2017, CapEx while we have to review that, I don’t have these numbers on top of my mind.
Unidentified Analyst: Okay. Thanks. And you expecting to raise debt in the near future?
Carlos Gálvez: Yes. We consider to raise some debt. Actually we have some debt for the short-term taking the opportunity of the very cheap cost we obtained in the market and that we are awaiting to the extent that we need to raise certain debt.
Unidentified Analyst: Okay, great. And can you disclose what sort of amount you are expecting to raise and by the timeframe, by year-end this year?
Carlos Gálvez: Well, the expectation is to raise some eventually before this year end. We have an opportunity to do so. But the instrument it could be - eventually as indicated the loan or eventually a bond if necessary but this is something that haven’t been decided finally.
Unidentified Analyst: Okay, very clear. Thank you very much.
Roque Benavides: You’re welcome.
Operator: Thank you. Our next question comes from Tanya Jakusconek from Scotia Bank.
Tanya Jakusconek: Hi, there. How are you?
Roque Benavides: Hi Tanya.
Tanya Jakusconek: I am sorry. I got pushed off the call so maybe you answered this and I don’t know. It has to do with Tambomayo. I know that originally you had looked at a production profile of 110,000 to 120,000 ounces and now I think you have been stating 120,000 to 150,000 ounces similar silver and similar cost and similar CapEx to build. What’s changed the production profile, is it since it’s similar capital, similar infrastructure is it great in recoveries what has changed that?
Roque Benavides: It’s tonnage. We were expecting initially 1,000 tons per day and we are waiting for 1,500 now. We think as we organize or we plan on having everything ready permitted to go to 3,000 with an initial stage of 1,000 tons per day. Now we have decided to go for 1,500 and have a second stage that could take us to the 3,000 tons per day. So it really has been tonnage essentially that will permit us to produce some more ounces
Igor Gonzales: I believe that you had some mistake Tanya. We have always mentioned the ore - gold to be produced in the order of 120,000 ounces of gold plus $3 million ounces of silver. What we was mentioned as a high year gold production versus [indiscernible] but we have always mentioned that the gold production in Tambomayo was going to be at the current levels.
Roque Benavides: And to add more information on the Tambomayo project, we started earthworks the actual movement of earth about three weeks ago and we were also finishing up the concrete and mechanical packages for bidding [ph]. So we are actually in construction mode in Tambomayo, so things are going as per they are on the schedule.
Tanya Jakusconek: Okay, thank you.
Operator: [Operator Instructions]. We now have a question from John [indiscernible].
Unidentified Analyst: Good morning everyone. Thank you for your report. I want to refer to production cost for silver related operation. I mean we know that it is difficult to [indiscernible] and this month we’ve met our prices but with our mines are producing at almost quorum prices it is some concern about - among investors. So is it possible to implement additional programs to reduce production cost. And is it the case what kind of financial trajectory in the short time? Thank you.
Carlos Gálvez: May I ask Igor to help us with that, and essentially we are working on cost reduction and obviously in this time which we call back to normal, we have to tight everything and that’s what we are working on.
Igor Gonzales: What - our strategy for we cost is as far - we have divided the strategy in the strategy for the operating areas and under operating areas we’re trying to analyze and increased productivity, we’re renegotiating all the major contracts and to try to adjust the prices. At the end we’re also negotiating or trying to optimize all the supplies and services to the mines. We’re working on all the extra time that we pay to the workforce and a whole array of reductions in administrative cost all the way from donations, trips, rentals et cetera. And then also we are looking at the corporate level and doing some additional cost reductions but with the participation of corporate personnel, and this are for example consolidating contracts, sustaining capital, closure of some of our existing operations that are near closure, definitely closure I should say and review of concessions for example. So we’re focusing on wide array of things to tackle cost reduction program for Buenaventura.
Unidentified Analyst: Okay. Thank you very much.
Operator: Thank you. [Operator Instructions]. At this time, I am showing no further questions and now I’d like to turn the call back over to Mr. Roque Benavides, Chairman and CEO for closing remarks.
Roque Benavides: Thank you for joining us in this conference call. We know that this is difficult time. This company, Compania de Minas Buenaventura will continue its efforts on cost reductions and making our operations as profitable as possible with this current situation. And as I said, back to normal, we have to continue working on efficiencies and making our operations as I say as efficient as possible. Thank you for attending and hope to see you soon.
Operator: Thank you, ladies and gentlemen, this concludes today’s teleconference. You may now disconnect.